Jon Poldan: Good morning, and Welcome to Energizer's First Quarter Fiscal 2024 Conference Call. Joining me today are Mark LaVigne, President and Chief Executive Officer; and John Drabik, Executive Vice President and Chief Financial Officer. A replay of this call will be available on the Investor Relations section of our website, energizerholdings.com. In addition, a slide deck providing detailed financial results for the quarter is also posted on our website. During the call, we will make forward-looking statements about the Company's future business and financial performance among other matters. These statements are based on management's current expectations and are subject to risks and uncertainties which may cause actual results to differ materially from these statements. We do not undertake to update these forward-looking statements. Other factors that could cause actual results to differ materially from these statements are included in reports we file with the SEC. We also refer in our presentation to non-GAAP financial measures. A reconciliation of non-GAAP financial measures to comparable GAAP measures is shown in our press release issued earlier today, which is available on our website. Information concerning our categories and estimated market share discussed on this call relates to the categories where we compete and is based on Energizer's internal data, data from industry analysis and estimates we believe to be reasonable. The battery category information includes both brick-and-mortar and e-commerce retail sales. Unless otherwise noted, all comments regarding the quarter and year pertain to Energizer's fiscal year, and all comparisons to prior relate to the same period in fiscal 2023. With that, I would like to turn the call over to Mark.
Mark LaVigne: Good morning, everyone, and thank you for joining us on our fiscal 2024 first quarter earnings call. We started the fiscal year with the same priorities as we had in FY '23, improving margins, generating free cash flow and paying down debt. In our first quarter, we delivered on our outlook and made great progress in each of these areas. Gross margin improved to 39.5% for the quarter as a result of the benefits from Project Momentum. We generated free cash flow over 21% of net sales and paid down $78 million in debt, solidifying our path to achieve below 5 times debt to EBITDA by the end of the fiscal year. In addition to the strong execution against our main priorities, we are seeing healthy indicators across our business, including an excellent response to our investments to drive improved consumer engagement without impeding margin improvement, steadily improving category trends, share gains in batteries across key customers and markets around the world, and improving consumer sentiment. When you combine the momentum of our strategic priorities with these trends, we are positioned to deliver both top and bottom-line growth over the balance of the year. Turning to a review of the first quarter. Globally, battery category volume and value performed as expected with both down low single digit. This was largely driven by ongoing elasticity impacts from international price increases, which occurred later than in the U.S., as well as comping the energy crisis in Europe last fall, which caused a surge in category demand in our first quarter of 2023. When you narrow the view to the U.S., category volumes increased roughly 6% in the quarter. We expect international category trends to follow roughly the same recovery pattern as the U.S., as they cycle through the impact of price increases with positive global volume trends in the back half of the year. We are achieving these results while maintaining a prudent approach to pricing and promotion. These strategically important investments have been designed to engage and bridge consumers to higher price points after multiple rounds of pricing in the category. On a year-over-year basis, the percent sold on promotion for the category was up in the quarter, but the depth of that promotion was meaningfully less than the prior year. Importantly, the investments are having the intended impact without sacrificing gross margin. We drove volume in the category and for our brands while preserving our pricing and expanding gross margin in the quarter. As we look ahead, we will be disciplined in our pricing and promotion strategies with a focus on driving the overall health of the category and our brand. Moving to Auto Care. While the December quarter is the smallest in terms of sales for our auto business, we are entering the critical peak season with a fast start, growing organic sales by nearly 5% versus the prior year. We saw growth across three of our four subcategories, appearance, refrigerants and fragrance, and delivered double-digit growth internationally. Importantly, we are set up well to deliver low-single-digit organic growth for the full year in Auto Care, while also expanding margin. And finally, Project Momentum is delivering. The program generated over $20 million in savings in the quarter, taking total program savings to over $75 million to date. As we announced today, we continued to find areas of opportunity and we increased the total program savings target by $30 million, taking our savings range to $160 million to $180 million. Our strong free cash flow has also been a bright spot. The combination of margin improvement and continued progress on working capital management helped to generate free cash flow of over 21% of net sales, up nearly 150 basis points from the prior year. As John will expand on in a moment, our free cash flows have allowed us to make significant progress towards reducing debt and strengthening our balance sheet. Let's turn it over to John for more details on the quarter and the full-year outlook.
John Drabik: Thanks, Mark, and good morning, everyone. I will provide a more detailed summary of the quarter, an update on Project Momentum, and some additional color for our expectations for the rest of fiscal '24. For the quarter, reported net sales were down 6.3% with organic revenue down 7.4%. The results for the quarter were within our initial outlook for organic sales to decline between 6% and 8%. As we called out in our last call, the largest driver of the decline was earlier holiday shipments which benefited our fourth quarter in fiscal 2023. Our sales were further impacted this quarter by continued weaker performance in non-track channels. Adjusted gross margin increased 50 basis points to 39.5%, mainly driven by Project Momentum. Pricing was relatively flat on a year-over-year basis, but mix impacts and modestly increased product costs were slight headwinds in the quarter. Adjusted SG&A increased $3.7 million, primarily related to labor and benefit costs, as well as factoring fees in a rising rate environment, partially offset by Project Momentum savings. A&P as a percentage of sales was 6.6%, consistent with our efforts to focus investments during the critical holiday season. Interest expense decreased $2.2 million due to lower average debt outstanding as we have continued to prioritize debt paydown. As noted in our press release issued earlier this morning, we also recorded a non-cash exchange loss of $21 million in the quarter, recognizing the devaluation of the Argentine peso in December. The devaluation was a result of broad economic reforms introduced by the newly elected administration, in which the peso was devalued by 50% in the month. Given the extraordinary nature of the devaluation, the impact was excluded from our adjusted earnings per share. We delivered adjusted EBITDA and adjusted earnings per share of $132.9 million and $0.59. We also generated $153 million of free cash flow in the quarter through a combination of margin improvement and continued progress on working capital management. We directed these strong cash flows to pay down $78 million of debt during the first quarter, and we've continued this progress by paying off an additional $58 million subsequent to quarter end for a total of $136 million in the first four months of the fiscal year. Since the fourth quarter of fiscal '22, we have paid off over $400 million of debt to date, or almost 12% of our total outstanding debt. As rates stay higher for longer, our debt capital structure remains a valuable asset as we have a weighted average cost of debt of around 4.7%, which is 94% fixed and no meaningful maturities until 2027. As Mark noted earlier, Project Momentum continues to be an important focus for us and contributed approximately $22 million of savings in the quarter. As we look forward, we've identified additional opportunities to drive savings, including by leveraging production assets we were able to opportunistically acquire last quarter in Belgium. Based on our latest estimates, we are calling up our full program outlook by $30 million for total program savings of $160 million to $180 million. We also expect onetime cash costs for the program to run at roughly 80% to 90% of the projected savings. And finally, I would like to provide some additional color on our outlook for the remainder of the year. For the second quarter, we expect organic net sales to be down between 2% and 3% as we cycle through softness in non-track channels. We also anticipate gross margin in the quarter to improve by 150 basis points year-over-year, and for adjusted EPS to be in the range of $0.65 to $0.70, up mid-single digits at the midpoint versus the same quarter in the prior year. Over the back half of the year, we expect to return to top line growth driven by a few key factors. First, we expect volumes to continue to improve in the category as consumers adjust to the pricing taken over the previous two years, especially in international markets where pricing actions occurred later than in the U.S. We also expect a recovery in some of the non-track channels, which should begin to comp large declines that began last spring. And finally, we expect distribution wins across both Battery and Auto to help drive back half sales. For the full fiscal year, we continue to expect Project Momentum savings of $55 million to $65 million. We also expect to pay down $150 million to $200 million of debt for the year, and to end fiscal '24 below 5 times leverage. We are reaffirming our outlook for organic net sales to be flat to down 2%, adjusted gross margin improvement of 100 basis points with improvement across both Battery and Auto Care, adjusted EBITDA in the range of $600 million to $620 million, and adjusted earnings per share of $3.10 to $3.30. With that, I'll turn it back over to Mark for closing remarks.
Mark LaVigne: In summary, our first quarter performance sets us up well for the remainder of the year. We have the flexibility and discipline to navigate the market condition, particularly in light of the strong momentum across our cost savings and cash generation initiatives. We will remain laser-focused on delivering growth, advancing our strategic priorities, and delivering shareholder value. Now, let's open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Lauren Lieberman at Barclays. Please go ahead. Your line is open.
Lauren Lieberman: Great. Thanks so much. And the first thing I was hoping is if you could just tell us a little bit more about the Belgium facility you acquired and kind know just anything you can offer on that, and how much of that was really what was driving the uptick in momentum savings. Or is that something that still maybe more to be evaluated as we move forward?
Mark LaVigne: Lauren, we continue to evaluate Project Momentum, and as you've seen, as we've gotten further in the program, we've been able to take the ranges up 160 to 180 is our current call based on everything we know today, including the acquisition of the Belgium facility. And that was an opportunistic opportunity that came across late last year. It allows us to pivot and do in region for region manufacturing. It's driving great working capital improvements, cost savings improvements, and it was a relatively low-level investment. You know, the purchase price for the assets was roughly €3.5 million.
Lauren Lieberman: Great. That's fantastic. Thank you. And then just on Auto Care, and constructive commentary on top line, but margins did take a step back this quarter. So just kind of curious about anything that was discreet to the quarter and how we should be thinking about kind of gross margin opportunity for the full year.
Mark LaVigne: Yes. I would say, Lauren, the first quarter was not reflective of what we expect for the full year. We're still anticipating gross margin improvement as we go throughout the year, pretty significant and that should help us deliver bottom-line performance on a segment profit perspective as well.
Lauren Lieberman: Okay. And is there anything within there that I guess, I'm sure it's still partially Project Momentum, but like operational changes that are being made in Auto versus raw mats and pricing kind of stuff? I'm curious about what's sort of in your control versus the macro if you will.
Mark LaVigne: Yes. No. No, no. It's obviously, the smallest quarter by far. So when you kind of come into the year and look at re-rolling standards, you got some indirect costs that you allocate to the business. It's really not reflective of the full-year run rate.
John Drabik: And Lauren, just to build on that, I think from a gross margin standpoint in Auto Care, we're expecting improvement this year. And then I think one of the questions that's out there is when will we get that business back to where we were when we acquired it, and our anticipation is with continued gross margin improvement, including a lot of the plans we have under Project Momentum is we'll achieve that level in '25.
Lauren Lieberman: All right. Thanks. I'll pass it on and come back on.
Mark LaVigne: Yes. Thanks, Lauren.
Operator: Thank you. Our next question comes from the line of Bill Chappell at Truist Securities. Please go ahead. Your line is open.
Bill Chappell: Thanks. Good morning,
Mark LaVigne: Good Morning, Bill.
John Drabik: Good Morning, Bill.
Bill Chappell: So talking a little bit more about your kind of commentary or maybe your visibility into battery volumes picking up, and I'm just trying to understand kind of elasticity commentary in terms of the business has always been kind of impulse/commodity in terms of you and Duracell are line-priced. You haven't seen Rayovac really pick up in share, even though it's a lower-priced product or private label. So try and understand how consumers adjust if they haven't already and volumes start to pick back up? Or is it more -- or if there's something else I'm missing?
Mark LaVigne: No Bill. Let me start. So I would say from an overall standpoint on the category, let me -- we really like where we are from category trends. I think we're positioned very well to deliver the year. Let me start by kind of breaking it down on the component parts of the overall category. And this is -- so in the U.S., when you talk track channels, volume is consistently improving. You saw us go from kind of down high single digits, down 1.5% year-over-year, and then the latest numbers have been down 0.5% in volume, and even the numbers that came out this morning were positive. So you are seeing that inflection point in track channels to positive volume growth. That's a great sign in terms of working through the elasticity impacts, working through the pandemic surge in demand, and all of the factors that have gone into that. Then you break it down into sort of the online channel, both pure play as well as omni, that's been a consistent source of growth over the last couple of quarters and would continue -- we'd expect that to continue. Then when you get into non-track channels with home center and OEM, we expect those trends to stabilize. If you recall, it was kind of last April-May when we saw some of the declines that we saw in-home center. We expect to work our way through those. So those trends should stabilize. International, you have elasticity impacts from pricing which occurred later in the U.S. We expect to work through those. We're already seeing signs as you are Latin America, Asia Pacific in particular. In Europe, you had a bit of an anomaly with the energy crisis there last year. So all in all, those trends are positive just from a category standpoint. And then specific to our business, on top of just basic execution, we are seeing some distribution wins in both batteries as well as an auto, which we expect to take hold in the back half of the year. So all of those factors, both from a category as well as our business specifically, give us great confidence in the back half of the year returning to growth.
Bill Chappell: Okay. So just to follow up, I mean, is your thought that it's greater on a normalization post-COVID, or is it elasticity? It seems like it's more of the former, whereas pricing -- I guess adjusting to pricing is more of a relative type thing. It seems like you're more comfortable that we're getting back to a normal consumer behavior.
Mark LaVigne: I think we are getting back to a more normal consumer behavior. It's very difficult to parse those out. I wouldn't want to blame some of the current trends on COVID related. I mean, you did have a long cycle of working through that, and then you had the pricing impacts from two fairly significant price increases over the last couple of years. So there was a lot there for consumers to work through, plus just the overall backdrop impact as well. So I would say you are back to more normal category patterns. As we work our way through into Q3 is when you're really going to see that inflection point from a volume standpoint in the U.S., consumers are reacting accordingly. Your question on Rayovac. I mean, we are seeing interest in Rayovac -- sort of increased interest in Rayovac. As we've talked to retailers, you have seen some share gains in Rayovac as some of the more value-oriented offerings and retailers are leaning in with consumers. So there is an opportunity there, and we've been able to capture some of that. Obviously, we want the bulk of our business to stay at the premium end with Energizer, and that's where it continues to be.
Bill Chappell: Great. Thanks for the color.
Mark LaVigne: Thanks, Bill.
Operator: Thank you. Our next question comes from the line of Nik Modi at RBC Capital Markets. Please go ahead. Your line is open.
Nik Modi: Thank you. Good morning, everyone. So just a couple of questions. Just wanted to clarify the non-tracked weakness that was solely the home centers like it was last quarter, right? Was there anything else - 
John Drabik: It's the majority of it.
Nik Modi: Okay. And then I guess following up on Lauren's question, just on Project Momentum. Obviously, you're getting some benefits out of this plant, but what else is driving the upside in the program? If you could just provide some context on that and then I have just one follow-up.
Mark LaVigne: Sure, Nik. I mean, look, Project Momentum has been an incredibly successful program for us. We launched it, and since then, the organization has really dug in and been able to just drive savings throughout the organization. Right now, if you take the $160 million to $180 million as the savings range, it breaks down to 55% roughly in sort of network distribution footprint, 15% procurement, and then 30% SG&A. Those ranges have moved around a little bit. As we've continued to uncover SG&A, we found additional opportunities as we've worked through the program, but the same has been true with the network design, with the inclusion of the new facility in Belgium. So I would say it's very broad-based in terms of where the additional savings are coming from and it's just been tremendous work by the organization to be able to hit $160 million to $180 million in savings over the three year period.
Nik Modi: Helpful color, Mark. And then just on the consumer, last quarter, you had much more cautionary commentary, and I'm sensing a little bit more optimism now. Am I reading that correctly? Have you seen things really improve? Are you feeling better about where the consumer is?
Mark LaVigne: I think we are. I think you are seeing improving consumer sentiment. I think you're seeing the volume trends in our categories, both from Auto and Batteries exceed our expectations and continue to have the right trajectory. I think it's dangerous in this environment to go two all-in in sort of one direction so I would say improving consumer sentiment. Still some caution out there, and you still need to be very choiceful in terms of how you engage and how you invest to make sure that the consumers continue to stay engaged with your categories and your products. We're doing that. We're doing it successfully, but it is an improving backdrop compared to what we expected back in November.
Nik Modi: Excellent. Thanks so much, Mark.
Operator: Thank you. And our next question comes from the line of Rob Ottenstein of Evercore. Please go ahead. Your line is open.
Rob Ottenstein: Great. Thank you very much. I just wanted to follow up a little bit in terms of your confidence in the second half of the year, and I think you mentioned one of the key drivers of that is the increased distribution for both Auto and Batteries. Can you give us a sense of how much of the improvement is from the increased distribution, and then more details on that increased distribution in terms of channel products, any particular color around that would be helpful. Thank you.
Mark LaVigne: Well, let me get started, Robert. I think on the sort of confidence, it really breaks down into how I laid it out before, which is improving trends across the category in track. You have nice growth potential online. You have a stabilization in non-track. So that's kind of the foundation. And then on top of that, we have been able to gain incremental distribution in Auto Care with some of our key retailers, with some partnerships that we're driving that you're going to hear more about as the year progresses. And then in Batteries, we continue to push for additional distribution across our footprint, both existing retailers as well as some new retailers. That's true in both the U.S. and international. We called out international distribution on the last call. I would say that teams have aggressively moved to claw back some of those distribution losses. And so as you look to the balance of the back half of the year, we expect distribution wins to be a tailwind and not a headwind as we get into Q3 and Q4. So a lot of hard work in the distribution. I don't want to get into specific customers and certain products, but you'll see them hit shelves here in Q3 and Q4.
Rob Ottenstein: Terrific. Thank you very much.
Mark LaVigne: Thanks, Robert.
Operator: Thank you. Our next question comes from the line of Andrea Teixeira of JPMorgan. Please go ahead. Your line is open.
Andrea Teixeira: Thank you. Good morning, everyone. So can you comment on your online channel performance for Batteries? You mentioned just recently that you saw an opportunity online, but that by the same token, is also the most fragmented channel. And I remember in the past few quarters, it was one of the areas where you had the most deceleration or in a way, some sort of like increased -- obviously increased competition against private labels. So if you can comment on how your share stands right now and how you're thinking in your model. Thank you.
Mark LaVigne: Good morning, Andrea. I think the best way to describe it, and a lot of this is limited the information that we receive from an online standpoint. But what we're seeing is we're continuing to see healthy volume growth in online. You're continuing to see healthy value growth online. In the past quarter -- in the October-November-December quarter, we were able to match online growth, both in terms of volume and value. So our share from our estimates is probably flat. We're not losing share, We're not gaining share at this moment. But I think a really solid quarter for us in the online channel in holiday, which was, as you know, a very critical quarter for us.
Andrea Teixeira: And if I can -- that's encouraging. And then if I can just go back to the Project Momentum as you raised the $30 million, and I believe in August you had included 2025 into the program. So where -- number one, where did the $30 million come from, the additional? And when should we -- I think you didn't change the amount that is going to be in 2024, but I was wondering if you can mention where it came from and where we should be thinking of the extra $30 million lending. I'm assuming that's '25.
Mark LaVigne: So the extra is certainly in '25. We did keep '24 between $55 million and $65 million in savings. The balance of the program to hit in '25. As I mentioned on one of the previous questions, it's really broad-based across the program. It's 70/30 split gross margin SG&A. That's a little different than when the program started, which was 80/20. We did add a third year as we continued to find additional opportunities throughout the program, but really excited about the benefit it's going to provide for us and our ability to deliver ongoing earnings momentum in the business. And so tremendous work. It's broad-based. The teams continue to work hard and execute against the program. I would say 70% in gross margin, 30% in SG&A, and with the $55 million and $65 million in '24 with the balance next year.
Andrea Teixeira: That's great. And then if I can just squeeze a bit of the Rayovac kind of repositioning. And as you gain more shelf space in bricks, do you see the need for pushing because obviously when you're growing and the market was premiumizing, do you see the need of positioning Rayovac as like an entry-level for you, which has always been, but just to see if you're looking at this additional shelf space to be positioning and to protect the entry-level battery market or not?
Mark LaVigne: Well, Andrea, I think we're perfectly positioned in the battery category to really lean in with retailers and solve any of the sort of strategies or issues that they're trying to connect with consumers on. And I would say our full portfolio, the fact that we go from value offerings all the way up to super-premium with lithium is a unique advantage that we bring. I would say the goal is to source Rayovac volume from private label and to make sure that we continue to keep consumers in the branded side of that business. That's an important element that Rayovac plays. Obviously, our flagship Energizer brand will continue to be our emphasis and continue to be the bulk of the distribution that we see. But it plays an important role. I don't think it will take outsized -- have an outsized impact on our overall share or our financials. But it is a key asset that we have that we leverage very tactically as we work with retailers to solve any sort of the issues that they're looking to solve.
Andrea Teixeira: Thank you. I pass it on.
Operator: Thank you. And our next question comes from the line of Hale Holden at Barclays. Please go ahead. Your line is open.
Hale Holden: Good morning. Could you give us any change or update to what you're seeing on input prices and the overall inflationary market or environment or deflationary environment, and how it may fall out for the rest of the year?
John Drabik: Sure. Yes. Yes. For the rest of the year, and specifically to materials, it was slightly negative in this quarter, but we're looking for pretty consistent improvement going forward. We're calling for about 80 basis points of gross margin full-year improvement, and the biggest benefits really coming from lithium, zinc, steel and R-134a. So we do have some tailwinds coming in from direct input cost.
Hale Holden: Thank you very much.
Operator: Thank you. And our next question comes from the line of Carla Casella at Morgan. Please go ahead. Your line is open.
Carla Casella: Hi. I'd like to focus on the debt paydown. And just wondering what's the debt that you paid down in the quarter and after all term loan? And is that what you expect to target going forward? Or would you look at back bonds as well given that they're trading at a discount?
Mark LaVigne: Yes. It was all term loan so far this year. I mean, we'll continue to evaluate what's the best option for us to pay down going forward, but we'll continue, I think, to go after that term loan as much as we can over the next couple of years.
Carla Casella: Okay, great. Thanks.
Mark LaVigne: Thanks.
Operator: Thank you. And we currently have one further question in the queue. [Operator Instructions] And that next question is from Lauren Lieberman at Barclays. Please go ahead. Your line is open.
Lauren Lieberman: Hi, I'm sorry, I'm actually all set because I was going to ask about the incremental distribution and the outlook in the back half, but you end up answering it. So I am all set. Thank you.
Mark LaVigne: Great. Thanks, Lauren.
Operator: No problem. And we had one further question coming and that's Brian McNamara at Canaccord Genuity. Please go ahead. Your line is open.
Brian McNamara: Hi, guys, thanks for taking the question. I believe that you expected flat year-over-year volume pretty much throughout the year when -- with Q4 earnings back in November, excluding the impact of the earlier holiday shipments in Q1. Is that still the case broadly for the year?
Mark LaVigne: Yes. We're still looking for the full year to be roughly flat from a volume perspective. I think if you look at it, obviously it was down about 700 basis points in the first quarter. We expect it to be kind of flattish in Q2 and then see a turnaround in the back half of the year to get us back to flat.
Brian McNamara: Great. And then secondly, on debt paydown. You guys have paid down a good amount of debt over the last several quarters. It's kind of the sticking point with any investors kind of we speak to kind of get involved in the name that aren't already. I'm just curious, is there anything guys can do to kind of hasten that process, whether it be divestitures of maybe smaller brands, things like that that you're considering that's on the table?
Mark LaVigne: No. I think we'll continue to focus on the operational performance. So back at the end of '22, we started to talk about Momentum. We really went after working capital as part of that. We've been able to generate significant cash flow over the last six quarters through operations. I think we'll focus there and then we'll continue to look to pay down debt going forward as our primary capital allocation.
Brian McNamara: Thank you. Best of luck.
Mark LaVigne: Thank you.
Operator: Thank you. And currently there are no further questions in the queue at this time. So I'll hand the floor back to Mark for the closing comments.
Mark LaVigne: Thanks everyone for joining us this morning. Hope everyone has a great rest of the day, and thanks for your interest in Energizer.
Operator: This now concludes the conference. Thank you all very much for attending. You may now disconnect your lines.